Operator: Ladies and gentlemen, thank you for standing by and welcome to the Duke Realty Quarterly Earnings Conference Call. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. And instructions will be given at that time. [Operator Instructions] And as a reminder, today’s call is being recorded. I would now like to turn the conference over to the Vice President of Investor Relations, Mr. Ron Hubbard. Please go ahead.
Ron Hubbard: Thank you, Hart. Good afternoon, everyone, and welcome to our third quarter earnings call. Joining me today are Jim Connor, President and CEO; and Mark Denien, Chief Financial Officer. Before we make our prepared remarks, let me remind you that statements we make today are subject to certain risks and uncertainties that could cause actual results to differ materially from the expectations. For more information about those risk factors, we refer you to our December 31, 2015, 10-K that we have on file with the SEC. Now, for our prepared statement, I’ll turn it over to Jim Connor.
Jim Connor: Thank you, Ron, and good afternoon, everyone. I’ll start out with an update on the overall business environment and then transition into our third quarter results. Nationally, the industrial market’s momentum continues to be very strong. Demand outpaced supply for the 25th straight quarter. New supply in substantially all markets is in balance and demand for modern bulk space year-to-date continues to beat everybody’s expectations. Net absorption for the third quarter was 77 million square feet, that’s the most since the fourth quarter of 2005. Although 40% of this absorption was in five of our markets, those markets include Southern California, Houston, Dallas, Chicago, and Pennsylvania. On the supply side, new supply in the third quarter totaled 53 million square feet, the most since the fourth quarter of 2008, yet speculative deliveries were down 15% from the previous quarter. The net result was another 20 basis point drop in the overall vacancy nationwide to approximately 5%, just from a historical perspective, the tenure average is about 8% and the recession was about 10%. These positive fundamentals continue to drive strong rent growth, 40% of all markets nationally are expected to post double-digit rent growth in 2016. As we’ve stated on previous calls, demand has been broad based even in the relatively slow 2% GDP growth environment. Containerized traffic flow, transportation industries and consumer confidence all trending in a positive direction with regard to demand for industrial product. We’re seeing similar strength in our own portfolio with the completion of 4.4 million square feet of leasing for the quarter, which drove our in-service occupancy to 97.3%, a 60 basis point increase from the second quarter, which achieved another record high occupancy in the company’s history. Rents on new and renewal leases for the quarter grew by 19%, reflecting continued strong supply demand fundamentals and our solid pricing power. A particular note was our continued success in leasing recently completed speculative projects. One notable transaction executed during the third quarter was a 615,000 square foot lease, for 100% of the space in our speculative project at our Camp Creek Business Center in Atlanta. This lease was signed by a major consumer products company for a term of 10 years. Overall, demand for space continue to be strong from traditional customers of industrial distribution space and of course the powerful direct and indirect demand forces of e-commerce. We believe our platform is in a very strong position to continue to capture this growth. The strong supply demand dynamics help contribute to same property NOI growth with 12 months and three months ended September 30, 2016 at 5.1% and 5.7% respectively. On the development side of the business, momentum continues to be very strong, as I’ve alluded to in the last few calls. During the third quarter, we generated a $183 million of starts across six industrial projects and two medical office projects, in aggregate totaling 3 million square feet and about 50% pre-leased. The industrial development projects were spread across markets such as Chicago, Baltimore, Tampa, Indianapolis and Savannah. Many of you may recall hearing about the Savannah project was in the news recently. The 1.4 million square feet build-to-suit with a national retailer Floor & Decor was for a lease term of 15 years. On medical office side, we started 200% pre-leased projects in Raleigh and Dallas totaling 72,000 square feet. Both transactions were with existing healthcare system clients of ours and both were for lease terms of 15 years. I’m also pleased to share with you that we have started three fully leased build-to-suit industrial projects after quarter end in early October with an expected cost of $113 million and an aggregate totaling nearly 1 million square feet. These deals were all executed with major brand name tenants. They were all executed on our land. These October starts are consistent with our increased 2016 guidance for development starts, which I’ll expand on momentarily. We’ve continued to see strong activity in our development pipeline, and our confident will close at 2016 in strong fashion, and are optimistic about 2017 as of today. Our overall development pipeline at quarter end has 21 projects under construction, totaling 7.2 million square feet and a projected $575 million in stabilized cost at our share. We’re 58% pre-leased in the aggregate. We’ll continue to closely manage pre-leasing levels on new development start opportunities, as noted numerous times in the past. While our company has an excellent track record in competing for build-to-suit projects, we’ll also continue to strategically allocate capital to speculative developments. In fact since the fourth quarter of 2014, we delivered 24 spec industrial projects that were initially 14% pre-leased. These projects are now 85% leased with strong prospects for the remaining space. Margins on the pipeline are expected to continue in the 20% range. We believe our strategy will continue to represent a solid risk-adjusted value creation engine for our shareholders. Turning to dispositions, we closed $227 million of transactions during the quarter at an overall average in-place cap rate of 7.4%. The largest component of these dispositions was the sale of an eight-building 1.2 million square foot office part in Indianapolis that included our corporate headquarters facility. I know there are notable dispositions that I alluded to on our last call with the closing of the user sale on the 936,000 square feet speculative industrial building in Indianapolis that had been placed in service, but was yet unleased. A few other notes on this industrial sale, first we sold this building for more than 20% gain to a major retailer for its dedicated Midwestern regional e-commerce facility. If we exclude this sale from our third quarter dispositions, the reported aggregate in-place cap rate would be 8.2%. For the remainder of the year, we expect $140 million to $260 million of dispositions, reflecting a small reduction in the previous midpoint of our guidance, part of this reduced guidance relates to an office part sale in Indianapolis that we had to put on hold until after an M&A transaction involving the primary tenant in the park is completed late in 2016 or early 2017. In addition, there were a few other assets that we expect to close late in the year, but could ultimately spill over into the first quarter. Overall, we are very pleased with our results for the year and we’re still progressing towards our target of completely exiting the suburban office business by year end or shortly thereafter. Even with these dispositions, we continue to be confident in our ability to growth our AFFO just as we’ve done for the last five years. With this continued steady AFFO growth outlook, and with what we believe is a very defensive portfolio to handle cyclicality. We’re very pleased to announce a 5.6% increase in our regular quarterly dividend. Now, I’ll turn it over to Mark to discuss our financial results and the capital transactions for the quarter.
Mark Denien: Thanks, Jim. Good afternoon, everyone. Core FFO per share was $0.31 for the third quarter of 2016 compared to $0.30 per share for the second quarter of 2016, and $0.29 per share for the third quarter of 2015. The increase in core FFO per share is due to our continued improvement in key operating statistics that Jim just touched on, as well as lower interest expense that resulted from our deleveraging activities over the last several quarters. AFFO for the quarter totaled $103 million, which was a 7.6% increase from the $95 million in AFFO reported last quarter. Our high quality portfolio continues to produce positive AFFO growth and we’re still comfortable with our original full year guidance of AFFO growth on a share adjusted basis of approximately 5%. In the equity capital markets, we issued $3.7 million shares under our ATM program in August and September for net proceeds of $103 million at an average issue price of $28.07 per share. In considering our share price relative to net asset value, the increases in our development pipeline that Jim previously mentioned along with our growing list of future prospects, we determined that prudent to use our ATM pre-funds development. We now raised all the capital necessary to fund the current pipeline as well as the next couple of quarter’s works of expected development starts from a few others on our prospect list and have less than $80 million of debt maturities through 2017. Our recent de-levering transactions have significantly strengthened our balance sheet and resulted in ongoing reductions to interest expense. Along these lines, I’m pleased to note that in early October, Fitch Ratings upgraded our senior unsecured credit rating from BBB to BBB plus with a stable outlook. All of these capital transactions coupled with our operational performance, resulted in improvements to our key financial metrics during the quarter. We expect to see further improvement during the remainder of the year resulting from disposition transactions and highly leased development properties being placed in service. This is reflected in our revised guidance. Now, I’ll turn the call back over to Jim.
Jim Connor: Thanks, Mark. In review of the year-to-date results and outlook for the remainder of the year, yesterday we raised the low-end of guidance for core FFO by $0.02 per share, narrowing the 2016 range to $1.18 to $1.20 per share, and affectively raising the midpoint by $0.01. Given the strong outlook on our development pipeline, we raised the development guidance to a range of $650 million to $750 million, up $125 million from the previous midpoint. Also due to continued overall strong operating fundaments, we raised our same property NOI growth guidance from a range of 5.2% to 6%, up about 70 basis points from the previous midpoint. Finally, given our capital recycling activities and recent debt pay downs, we changed the guidance for all three leverage metrics in a positive direction. We believe these improved leverage metrics put us firmly in position for a continued ratings upgrades in the near future. As noted in yesterday’s earnings release, the full details on revisions to certain guidance factors can be found in the Investor Relations section of our website as well as on the back page of our quarterly supplemental. Let me reemphasize once again how proud we are to have the company repositioned with a rock solid balance sheet, a low AFFO payout ratio and positioned to support raising the regular quarterly common dividend by 5.6%. Now, we’ll open the lines up to the audience, and I would ask that participants keep the dialogue to one question or perhaps two very short questions, and you are, of course, welcome to get back in the queue. Thank you.
Operator: [Operator Instructions] And our first question comes from the line of Kyle McGrady [Stifel, Nicolaus & Co., Inc.]. Please go ahead. You’re open.
Kyle McGrady: I’m going to get back in the queue, let me ask – let me get my ducks in a row, call on us in 15 minutes.
Jim Connor: Thank you, Kyle.
Operator: And we have a question from the line of [indiscernible]. You are open. Please go ahead.
Unidentified Analyst: Yes. Thanks, guys. Just a quick question, Page 22 of the sub, you reported growth in net effective rent slightly differently this quarter, where you wrapped up both the new and renewal leases for medical office and bulk industrial. What was the breakdown by those different property types for a growth in net effective rent for this quarter?
Mark Denien: Yeah, Tom, this is Mark. We in our effort can try to provide enhanced and better guidance for everybody. We’ll admit we inadvertently kind of omitted that. So we’ll work on this page for the future and get that back in. But I would tell you two things on that. The medical office piece is just a small piece of the overall pie. It really doesn’t move the needle. So if you look, for example, the third quarter number of 19.3% that’s right about what the bulk was. We only had just a few thousand square feet, 23,000 square feet of medical deals signed in the quarter compared to 2 million square feet on the industrial side. So the medical is just not moving that overall numbers. So the overall numbers pretty closely industrial, I would tell you the medical is probably slightly lower than that and it was just a mix, but nothing now the ordinary there.
Unidentified Analyst: Completely fair. And then just one more quick one from me. Acquisition guide was bumped up for the full year. This is kind of bucking trends we’ve seen from other companies in the sector, everyone else seems to be slightly taking down their acquisitions just based on pricing for core assets being still very strong. What was it about? What you guys see in the market right now that led you to bump up the acquisition guide?
Mark Denien: Yeah. We’re probably seeing the same things most or overall. But I would tell you the reason, we have ours – that we raised it is really related to a joint venture transaction that we planned on executing here. So in some existing relationship we have, we already have a part ownership in these assets and we’re just going to take our partner out this quarter. So that’s where most of that fourth quarter activity is going to come from.
Unidentified Analyst: Got it. That’s it for me. Thanks, guys.
Operator: [Operator Instructions] And we have the line of Manny Korchman [Citigroup Global Markets, Inc. (Broker)]. Please go ahead.
Manny Korchman: Hey, guys. Good afternoon. So, Jim, if I go back to your comments on spec building, you said over the last couple of years, you’ve done a bunch of projects. If I had to rank your confidence now in starting a new spec project today versus if we sat here two years ago, so in October 2014, where would you be more confident in getting a spec project off the ground?
Jim Connor: Well, I think, we’d be more confident today, just given the surprisingly strong numbers that we’ve seen year-to-date from both the demand and the supply side. I think it was particularly interesting that that spec deliveries in the quarter were actually down quarter-over-quarter by about 15%. And there has been some speculation that Fed has tighten the reigns a little bit on the money center and regional banks on construction lending, so that that was going to perhaps put a crimp in some of the local developers that were developing spec projects. I don’t know if we’ve really seen that come to pass. But I would tell you sitting here today, we’re very confident given the track record we’ve had in getting this space leased. And I think you see that by the fact that we announced four spec projects last quarter.
Manny Korchman: Great. And then Mark on that the – I guess the JV buyout, it sounds like that you’re thinking about, what would sort of a cap rate be on that, is that pre-negotiated?
Mark Denien: Yeah. It’s a pre-negotiated cap rate, Manny. I won’t disclose it individually, but I would tell you that we believe it’s a cap rates or it’s in a yield, it’s in excess of the cap rate. So we think that there is a – some good value there that we’re buying.
Manny Korchman: So if we’re just thinking about the modeling your total acquisition pool, where would that be now?
Mark Denien: Yeah. Total acquisition pool is probably going to be close to 7%, I would say.
Manny Korchman: That’s it for me. Thank you.
Jim Connor: Yep.
Mark Denien: Sure.
Operator: And our next question comes from the line of Jeremy Metz [UBS Securities LLC]. Please go ahead, Jeremy. You’re open.
Jeremy Metz: Hey, guys. I’m just wondering your industrial occupancy is over 97%, so I’m just wondering how you’re thinking about this in terms of are you really pushing rents hard enough and then as we think about it going forward should we expect to see that occupancy actually start to tick down as you push around here?
Jim Connor: Well, Jeremy, that’s – we’re in a really interesting time. I would tell you that I see the final terms of all of the major deals that we’re doing. And I would tell you, I’m comfortable. I think that’s backed up by 19% rent growth for the quarter. So, yeah, we’re comfortable where it is. I think it’s a reasonable to expect that that’s going to come down. I think we could come down 100 basis points and we’d still be in a very, very good spot. I don’t anticipate that that’s going to happen, because given the volume of leasing that we’re seeing out there. I just think it’s very unlikely that we’ll have an off quarter or two, where we’ll bring a bunch of spec projects in, that aren’t substantially pre-leased. And I think we’re seeing great renewal activity in our portfolio. So, we’re not anticipating getting any major vacancies backed this year or early next year that we can handle with our normal leasing volume.
Jeremy Metz: Okay. And then just one on the development front, you mentioned the strong build-to-suit pipeline. I was just wondering is there anything in particular that’s driving that increased activity and then maybe can you talk about what markets those opportunities are really coming in, is that how much of it is maybe e-commerce related?
Jim Connor: E-com – I’ll answer the second question first, Jeremy. E-commerce continues to be a very big driver of our business both on the leasing and on the development side. And you just think about it logically, we positioned the company, particularly the industrial portfolio, focused on the modern large bulk products and that’s what e-commerce users need today. With the exception of some of the smaller infill last mile, which we’re doing a little bit of most of the fulfillment centers today we’re looking at are 800 square feet to 1.2 million square feet that brand new state-of-the-art 36 foot and 40 foot clear and that’s really in our sweet spot. So, we’ll continue to do a lot of business with the e-commerce companies and they will continue to be a great driver of our business.
Operator: And our next question comes from the line of Mike Muller. Please go ahead. You are open.
Mike Mueller: Hi, quick question. On your GAAP rent spreads, they’re running at about two times the 2015 level. And I was wondering in terms of the drivers of the increase from the nine to ten to the high-teens now, would you say it’s primarily higher rate driving it or other dynamics and lease terms changing such as you’re getting bigger bumps longer term. I was just wondering can you give us a little more background on that?
Mark Denien: Yeah, I would tell you it’s really all the above. It’s just overall better quality leases. We’re getting as good or better bumps, we’re getting better starting rents. It’s really all the above. It’s not really lease vintage driven, if you will. We’re doing about a third of the leases right now that are rolling or what I consider to be in the trough period. That’s about the same percentage we were running at last year. The overall amount of leases rolling are getting smaller, because their overall expiration schedule is pretty light. But as far as the percentage of the leases rolling, the vintage of them are pretty consistent from 2015 to 2016. So, that doubled the increase, if you will, and that net effective rent growth is really just overall rent growth that we are driving, whether it be starting rent, or rent bumps, or truly all the above.
Jim Connor: Yeah, Mike, the only point I would add to that is and you touched on it in your question as lease term. Two things, the more really large deals we do, always tend to have longer terms, 10-year and 15-year lease terms. So that clearly helps there. The other side of it is with our portfolio is well leased as it is, we are doing very, very few short-term leases. Historically, it’s not uncommon to get a tenant to come to us and say, I’m just not really sure what my business is going to do, I want to renew for 12 months or I want to renew for 18 months. And the truth is, we’re not doing very many of those leases. Today, kind of the short-term for us is three years and we’re really looking a lot of tenants up for the longer term, while we’ve got some leverage, so we can push rents and escalation. So, I think it’s all of those things but that’s one point I wanted to add.
Mike Mueller: Got it. Okay. Thank you.
Operator: And our next question comes from the line of Jamie Feldman. Please go ahead.
Jamie Feldman: Great. Thank you. I guess starting with the guidance, can you talk about – you did some delevering activity, so like if you would just move your guidance on your, kind of core operations, how much you would have increased it and then what was the drag from some of the deleveraging you did?
Mark Denien: Jamie, you mean the drag on earnings from delevering?
Jamie Feldman: Yeah.
Mark Denien: I would say that really nothing in what we reported. There maybe a little drag in the fourth quarter, because we’re sitting on cash in October until we can get that redeployed in the bonds that we bought back just last week in our development pipeline. So you may be looking at a penny drag in the fourth quarter, but it really didn’t have any impact on the numbers we reported, nor would I say it would have an impact as we look forward to next year because it will all be fully redeployed by then. And then as far as the leverage metrics that we are at, I would tell you that they’re a little bit low because of raising the capital that we did in the third quarter to prefund. So, as an example, that debt-to-EBITDA number really close to 5.0. As we look out in the 2017, we’ll probably be closer into the mid-5s. We won’t need to raise any additional capital to fund all of this that I – like I talked about. So that leverage metrics will naturally move up closer to the mid-5s. But I would also point out that without any additional delivering, fixed charge will continue to get better because we have high coupon debt that continues to burn off. So, fixed charge will get better and debt-to-EBITDA will be kind of in the mid-5s.
Jamie Feldman: Okay. And then, I guess as you think about next year, big picture activity, like any big dispositions you think we might do, like how you guys are thinking about MLP now? I’m just turing to think about, I mean your core seems like it’s improving, but what are the noise might we see next year? Do you guys continue to make some changes to the business to the balancesheet?
Mark Denien: Well, Jamie, I don’t think we’re, at this point in the year, we are not planning to create any additional noise next year. I think the bulk of the heavy lifting will be done. I think we’ve really positioned the company to grow. And I think that’s really what we’re focused on as we start to look forward to 2017.
Jamie Feldman: Okay. All right, that’s helpful. Thank you.
Operator: And next, we have a line of Sumit Sharma. Please go ahead. You’re open.
Sumit Sharma: Thank you. So thanks for the commentary and all of the disclosure and commentary this quarter. I see that the GAAP rents, but it’s had me confused too, but Ron was instrumental in clearing that up. But I guess it sounds like NOI’s growth is accelerating into fourth quarter, which is great and this may be an early indicator that 2017 could look a lot like 2016, maybe get some comments on that. But more importantly as a owner and manager of industrial real estate, I guess where are you guys most cautious, because if you think about the investor mindset, they’re all trying to say, we’re all trying to figure out well, this is little too good.
Jim Connor: No, guys, it’s not too good. You know, it’s good, you should enjoy it. Well, let me take your first question about 2017. Sitting here, kind of towards the end of October, I would tell you we feel fairly optimistic about 2017. There is nothing in the macro drivers of the industrial business, so called storm clouds on the horizon that would really give you pause. We’ve been in a slow growth market, but that’s been really good for the industrial business. Consumer confidence is still up, although as I referenced earlier in my earlier comments the transportation indices are a little inconsistent, but by and large, they are all reasonably positive. I think we look at the, particularly the supply and demand equilibrium in the marketplace. I think that we’ve had a fundamental change in the industrial business that is here for the foreseeable future, which is e-commerce. And if you look at the pace at which e-commerce is growing and the amount of space they need to support that business and most of that is in the form of new big boxes. I think we’re positioned very, very well for the future. In terms of what worries us in the future, I would tell you it’s not the U.S. and it’s not real estate. I think you got to go global macro to anticipate anything that could really put the U.S. economy in a bad spot or have some really negative trickle over into our market right now. But thankfully we don’t see that right now. So we’re fairly optimistic.
Sumit Sharma: Thank you so much. If I may just ask one follow-up to that, I mean, if you were just thinking about it from – like you mentioned bulk distribution, in fact you categorized your industrial portfolio as a bulk distribution portfolio. What if in 2018 or going into 2019, it’s not about the bulk and it’s more about such a smaller, closer to last mile in-fill kind of assets. How are you prepping for that, how are you’re getting into new markets, any commentary on that?
Jim Connor: Sure. I’ll give you a couple of data points. First of all, that’s a business we are in and we have been in for many years. And it probably doesn’t get talked about enough and that’s our fault. But Duke has a long track record of redevelopment, brownfield redevelopment, we’ve done a number of these projects in major metropolitan areas all over the country. So we do that, we’re doing business with some of our favorite e-commerce companies, and some of our transportation and 3PL companies right now. So, A, we are addressing that business. The second point is the last mile, which has gotten a lot of attention our industry of late is really fairly small. If you look at and do research on Amazon, for example, They have about two million square feet of these last mile facilities. They average about 50,000 square feet or 60,000 square feet a piece, right. They have 70 million square feet, a fulfillment center. And you need the fulfillment centers to drive this huge volume, I mean this is a company that has 30% market share of the e-commerce business in the U.S., it is growing at 15% or 16% a year. They’re not going to be able to keep up that growth by focusing on 50,000 square foot in-fill, that’s just really small piece of the equation. You look at the number of projects that they have in the pipeline, that are debated out there in the different public forum, they have twice as many of these major fulfillment centers, which average about one million square feet as compared to the number of the last mile. So, it’s an important piece of their business and it’s important piece of e-commerce going forward. But, quite candidly, it’s just not going to move the needle.
Sumit Sharma: Fair enough. Thank you for your comments. We will continue the conversation at [indiscernible]. Thanks.
Operator: And, our next question comes from the line of Blaine Heck. Please go ahead. You’re open.
Blaine Heck: Thanks. Good afternoon. So, I guess just back on the topic of acquisitions you guys have, the best balance sheet, you guys have had in a long time and there have been some pretty significant industrial portfolios on the market. So, if there was an opportunity to expand your presence in target markets with a substantial portfolio acquisition, would you guys consider it or do you think pricing is still at a place that might keep you from kind of chasing a deal like that?
Jim Connor: Blaine, if you got one, call me afterwards, we’ll work on the deal. No, guys, the truth is we look at every deal that comes down the pipeline, every deal. And, the ones that we talked about in this last quarter, it’s a combination of the quality of the portfolio, the location of the real estate and the pricing. And all the ones that we looked at, we passed on for a variety of reasons. If the right portfolio came along, if it was, particularly, if it was heavily weighted into the markets that we want to grow in, we know what a reasonable price is. I think we’d certainly try and be willing to pay up for that. And given where our stock has been trading and our balance sheet, I think, our currency is strong and we’ve got the ability to stretch. So when we find the right one, I think, we’ll certainly be – we’ll certainly try and make it happen. We just haven’t found the right thing. And it’s like you tell your kids, just because you got money in your pocket doesn’t mean you got to go spend it.
Blaine Heck: Okay, that’s helpful. Mark, you guys have seen very strong same-store NOI performance over the past several quarters and looks like guidance implies another good one in the fourth quarter. It seems as though occupancy has been a big win at your back [indiscernible], but given that you guys announced 97.3%, it will be pretty hard to maintain the year-over-year increase. So I guess, given where rent spreads are and where rent bumps are right now, what kind of level of the same-store NOI growth do you think you can achieve without kind of the benefit of increasing year-over-year occupancy?
Mark Denien: Yeah, Blaine, I mean, obviously we’ll give a little bit better color on that again everyone to give our guidance for 2017. But I would tell you that if you just look at where we are today and where we think we’re going to be closing out 2016, about half of our same-property growth is coming right now from rent bumps and rent growth on rollovers. I think that is very sustainable as we look forward, because we’ve got rent bumps filled into really all of our leases. I think we are very bullish in our ability to continue to drive rental rate growth on rollover. So that that half of what we get, or getting right now, I think we feel very comfortable about that going forward. You’re exactly right on the occupancy piece. If you look right now, the remaining half of that same property growth, a good chunk of that is occupancy related. And it is going to be tough to continue to drive occupancy up, and like Jim even mentioned, I think, if we were to bet something right now, we may bet that it may tick back just a little bit, at least early in the year, next year. So let’s just call it out flat and then you got to look at just efficiencies in your portfolio and where you can drive those. So that’s a long-winded answer for San. I think, we’re still very positive in our ability to drive same property growth, maybe not at today’s level. But I will caveat all that by reminding everybody that we don’t put properties in our same property pool, until they’ve been in our population for 24 whole months. So we believe we have just as much NOI upside if you look at total NOI growth on all the properties that we’ve delivered and are going to deliver in our development pipeline. So I think that overall NOI growth can continuously look forward at about the same levels that we’re driving today.
Blaine Heck: So can I push a little bit and ask whether it’s kind of between two and three or three and four?
Mark Denien: I’ll let you know in January, Blaine.
Blaine Heck: Sounds good. Thanks, guys.
Operator: And next, we have the line of Eric Frankel. Please go ahead. You’re open.
Eric Frankel: Thank you. Obviously, everything is in great shape and you’re commenting on the demand picture or nationally and specifically, some of the biggest markets, Houston, Dallas, Chicago, Pennsylvania, and Southern California. Are you seeing any supply, any – I know, obviously supply and demand has been imbalanced for last couple of years, where demand has outpaced supply. So are you seeing any big supply issues on the horizon in those markets? I think, just in the local reports, we’ve read over the last couple of weeks, we – I think, certainly in Chicago and Atlanta supply has picked up immensely. And I think it would, at the current development volumes, it would probably match with what demand has been in the last couple of quarters.
Jim Connor: Yeah. Eric, I would answer that in a couple of ways. We’ve seen over the last few years, a handful of markets get, what I would call maybe slightly over built , and that the beauty of the markets today is how efficiently they are operating and you can look at, we’ve talked about over the last number of quarters, we’ve talked about Indianapolis, we’ve talked about Houston, we’ve talked about Columbus. And anytime those markets got slightly out of balance, all developers took their foot off the accelerator, we waited for demand to come back, which it has in all of those instances. So, I think from a macro level, the market is operating very efficiently. Yeah, you look at some of the numbers, we were having the same conversation probably a year ago, about Dallas, when Dallas was pushing I don’t know 25 million square feet of speculative. Dallas is on track to do 20 million square feet of net absorption this year. So, Chicago and Atlanta have kind of joined that club, but they’re both having really strong quarters of absorption and the amount of activity that we’ve got is evidence by that 600,000 foot lease in our Camp Creek Park, is very, very strong. So, I don’t see any, real warning clouds, there is a lot of activity out there to cover this spec development.
Eric Frankel: Okay. And that’s helpful. Switching to the build-to-suit side. I am not sure about the cost basis for what you, what you started this quarter. But what you just announced in terms of your three build-to-suit, starts in early October, I guess that comes down to roughly $113 per rentable square foot. Can you comment maybe on the nature of the leases that seems somewhat expensive for industrial.
Jim Connor: Yeah. There might be one of those in there, that’s got a little bit higher basis and a little bit more in-fill specialty use to it. Obviously, it’s early we can’t give you specifics on each individual deal, I think we’ll get into more specifics next quarter, when we announce everything, but there is one project there that’s probably skewing the other two a little bit.
Eric Frankel: Okay. That’s helpful. Thank you.
Operator: And our next question comes from the line of Kyle McGrady. Please go ahead. You’re open.
Kyle McGrady: Great. Great. Hey, Jim if you guys marked – if you guys have answered this let me know, because I missed the first part of the call. But we noticed that the service operation expectations are declining while G&A is rising, anymore color on what’s actually going on there?
Jim Connor: When you say...
Kyle McGrady: Page 32.
Jim Connor: I’m sorry, John.
Kyle McGrady: What you have...
Jim Connor: 32 as a couple of…
Kyle McGrady: Service operations essentially was...
Jim Connor: So, let me try that John. I think tried nowhere you’re going here. So, if you look – if you’re talking about from 2015 to 2016 levels, not revised guidance, right, I assume that’s what you mean.
Kyle McGrady: Yeah.
Jim Connor: Yeah. So, early service operations are declining because we’re taking all of our development expertise and we’re building more buildings for ourselves rather than building buildings for third-parties. It’s not really directly correlated with G&A either, I’ve seeing there’s not some correlation. But it’s really just a change in focus, we’re now on pace to do $700 million give or take a development this year for our own account. We haven’t staffed up to any measurable level on our people. So, what that means is we’re just doing less lower margin third-party projects, because we can do projects for ourselves. So, that’s why service officers going down, that’s really just a focus from third-party work to wholly-owned. And in G&A is actually if you look at G&A, it’s not as much, we were $51 million last year, a bit quite of our range this year is $53 million, that’s really just the lovely cost of our government and being a public company. It’s not really any inefficiencies or anything like that, it’s just increased SECBs and things like that.
Kyle McGrady: Okay. And then, Jim and I always talk about this, what’s your long-term expectation for your land inventory, Jim. Are you going to get back up to $1 million dollars or what do you think is appropriate?
Jim Connor: Sorry John, I choked a little bit there. No, we have worked really, really hard over the last four years, five years to get the inventory down to the level it is, it’s actually under $350 million right now. We believe we can run this business through cycle with between $350 million and $400 million of land held for development and it’s really we’ve changed the culture on how we approach land. We are not buying it in 500 acre chunks and controlling it for 10 years, we’re buying it in smaller pieces. We’re focused on putting it in to production much more quickly. So I think, it’s taken us a while to get there, but we are certainly in no hurry to get back, and I think you’ll see us continue to stay in that $350 million to $400 million range.
Kyle McGrady: Great. All right. See you soon. Thanks a lot.
Jim Connor: Thanks.
Operator: And next we have the line of Rich Anderson. Please go ahead, you’re open.
Rich Anderson: Thanks. Good afternoon. So, earlier in the call given the sort of problems emerging in the industrial space kind of made you chuckle a little bit and I get it, you guys are in great shape, no argument. But in previous past cycle, not so much in industrial, but other sectors, REITs did a really poor job of no one went to walk away from the Blackjack table. So – speaking specifically about development, your expanding development, what are you looking for, if everything is just track record driven and you’re feeling great and you’re adding to the pipeline, what are you looking for as a signal to get to be early before it’s too late and you have some real problems. I’m not saying that’s now, but what are the some of the tell-tale signal that you’re looking for this time around.
Jim Connor: Well, Rich, I think we can all reflect back on what the market look like in 2007 and 2008, and there were – there were comparable levels of supply coming on the market. It was much less preleased. So the entire market had much more spec risk out there. And I don’t have the numbers right off the top of my head. But I would going for memory, I think we were 10% or 15% preleased as an industry last time. And now we’re in the 35% or 40% range. So I think that’s one of the factors that we look at. The fact that demand has continued to outpace supply, and I think the fundamental difference this time and we’ve been talking about it on last several calls is e-commerce and the changes that has fundamentally may do our business. You could step back and look at all kinds of projections and forecasts out there for that side of the business. The most conservative ones I’ve seen have it growing at 8% to 10% a year. The more aggressive ones are 15% to 18% a year. So I think that bodes very, very well for us. But on the outside, we’re looking at the supply demand fundamentals, both from a macro perspective and a local perspective, and even when you get to a local perspective we’re drilling down into specific submarkets. And then we’re looking at our portfolio. We’ve committed to you guys and our investors that we’re going to keep our development pipeline, whatever size it is, at least 50% preleased. We’re going to manage our risk much better this time. And some people have from time-to-time, but a little critical and said we might be leaving some opportunity at the table and if that’s the case, so be it. And we continued to perform very well and keeping that prelease percentage up and today the pipelines at roughly 58% and I think in actuality, that maybe go up in the fourth quarter, given the build-to-suit volume compared to the timing on some spec projects, but that remains to be seen a little bit. So that’s kind of how we’re thinking about it and what the things that we’re trying to manage.
Rich Anderson: Okay. So 58% is not quite the floor, but kind of close to the floor, you wouldn’t want to see the overall pipeline go much below that, before you would get some leasing done and then add to it, is that the right way to think about it?
Jim Connor: Yeah. I mean I would say, we think the floor is 50% and in the last I think three years, we dipped below that one-time and I want to – I made a point of telling you guys a quarter in advance that it was going to happen and why. And in that particular case, it was simply just the timing from one quarter to the next of a number of spec projects and yeah, a lot of the markets that we deal in you can’t build in 12 months a year, you can do that in Texas and you can do that in Florida, but in New Jersey and Pennsylvania and Chicago, you can only build about nine months a year or so. There is some of those instances. But yeah, the magic number for us is 50% that we’re trying to stay above.
Rich Anderson: Okay. And for Mark, if you could just answer a quick modeling question, maybe we could do this offline, if it’s not right at your finger tips. But FFO from unconsolidated, to bounces around from quarter-to-quarter, but your – you are going to have a deal in the fourth quarter. Can you give me sort of sense of what the run rate should be – on a kind of a go forward basis and if that’s not a question you can answer now, maybe offline.
Mark Denien: Yeah, Rich, I could probably answer now, but I may not answer it correctly. So let’s try to do that offline.
Rich Anderson: Okay. No problem.
Mark Denien: I probably think I know, but I’d like to look at [indiscernible].
Rich Anderson: Okay. Sounds good. Thanks very much.
Mark Denien: Yeah.
Jim Connor: Yeah. Operator: Next we have in line from Ki Bin Kim. Please go ahead, you are open.
Ki Bin Kim: Thanks. Good afternoon, everyone. So Mark, you actually I made a quick mention about how you guys have a little bit less lease expirations going forward and I’ll say compared to your peers more noticeably less just because you have longer leases. So how do you maintain 4% to 5% same-store NOI growth when you have less to recoup, even though Mark, rent growths are higher. I know you’ve about – probably about 2.5% cash rent step ups, but it just seems like it might be a little bit more difficult to get – to maintain a high same-store NOI run rate, just because you have less [indiscernible].
Mark Denien: Yeah, Ki Bin. I mean, like I had mentioned earlier, I think, we need to finish lowering our budget up for next year before we give guidance for next year on this number. I guess, my point there is I’m not giving guidance, I’m saying that I think it is difficult to imagine we can see this run rate next year. But somewhere, half of that give or take, I think we can get there, there is always efficiencies you can try to drive out your portfolio as well. We’ve done a good job at doing that, so that’s on top of the rent bumps, that’s on top of the rent growth. So it’s somewhere in that, call it close to 3% range give or take, I think, a pretty good baseline start out and then we’ll just see when we roll everything up how much north or south of that it is.
Ki Bin Kim: Okay. And now just quickly on G&A, you’re going to exit the office portfolio completely by year end, it sounds like. But your G&A is just – actually been increasing over the past couple of years. So I’m just curious if there is anything we can expect in the efficiencies on that line item?
Mark Denien: No, not really Ki Bin, I’m mean, we’ve already really driven all the efficiencies out of G&A I think for the most part that we can. Most of the – any additional I should say cost savings that come out of the remaining dispositions we have are really sitting up in property NOI, it’ll be property level efficiencies that we have, what I would call the relatively slight increases we’ve had in G&A, the last couple of years are just kind of what I call cost of being a public company, they’re just raising greater than inflation. I would point out that if you look at our G&A load relative to probably any of our peers, one of the metrics we look at is, G&A is a percentage of gross revenues or G&A is a percentage of gross assets. While I’d acknowledge our G&A has increased a little bit over the last couple of years, I’d still put us best in class.
Ki Bin Kim: And just a last quick one. Are you – our cash lease price generally as a rule of thumb about half of the GAAP lease spreads, how do I think about that?
Mark Denien: No. We don’t really calculate that Ki Bin. I would tell you it’s probably less than half. Because the GAAP lease spreads, the lease term matters, so if you got a five-year lease, you may have to divide that number by five even.
Ki Bin Kim: Okay.
Mark Denien: So, it’s probably, if you’re at 20%, it’s probably closer to the mid single-digits give or take.
Ki Bin Kim: Okay. Thank you, guys.
Mark Denien: Yeah. Operator: Yeah. We have a follow-up question from the line of Eric Frankel. You’re open. Please go ahead.
Eric Frankel: Thank you. Just a follow-up question regarding future asset sales and asset recycling. So obviously you’ve had this non-core pool of assets [indiscernible] with sell down and use at the fund development. If – for whatever reason your share price isn’t quite as attractive in a year or two year, as it is maybe today, do you have a self-funding formula for funding development or cap allocation opportunities in the future?
Jim Connor: Well, Eric, that’s just the last we talking about our stock price like that. No, I’m just kidding. Yeah, I think we can always recycle assets. I think, as I alluded to earlier, we’d like where the portfolio is. We’ve done obviously all of the heavy lifting as it relates to the office portfolio, but we’ve also harvested some gains, we’ve sold a couple of Amazon buildings, we’ve liquidated a couple of joint ventures. We’ve proven some industrial assets here and there. So, if we need to, we can certainly look at that as an opportunity to raise capital. Sitting here today, Mark will tell you we’ve got the vast majority of our development and borrowings for the next year, pretty well covered. So, even if we don’t like where the price is from an equity perspective, I think we’re pretty well covered next year.
Eric Frankel: All right. That’s it. Thank you.
Operator: [Operator Instructions] And speakers no one else has queued up. Please continue.
Jim Connor: Thanks, Hart. I’d like to thank everyone for joining the call today. We look forward to reconvening during our fourth quarter call, tenderly scheduled for January 26, 2017 and hope to see you many of you at May REIT next month. Thank you.
Operator: Ladies and gentlemen, that does concludes your conference for today. Thank you for your participation and thank you for using AT&T executive teleconference service. You may now disconnect.